Hiromasa Furukawa: Good afternoon. I'm Hiromasa Furukawa, CFO of the JT Group. Thank you for joining us today for JD Group's First Quarter 2025 Earnings Briefing. First, I'd like to touch on the transfers of both the pharmaceutical business to Shionogi and the shares of Torii, which we have announced today. JT entered the pharmaceutical business back in 1987 and welcomed Torii as a member of the group in 1998. Over the years, together with Torii, JT built an integrated value chain for the pharmaceutical business. And by maximizing synergies and opportunities, the pharmaceutical business has been providing prescription drugs that are trusted by many patients. The environment surrounding the pharmaceutical business has been changing in recent years. International competition has intensified. Also joint R&D activities of the pharmaceutical business with external partners have been gradually restricted due to the constraints related to the presence of tobacco product at JT. Based on our assessment, it appears that under the current structure and considering the highlighted environment changes, the mid- to long-term growth outlook of the pharmaceutical business will be uncertain. As a result, we have decided to transfer the pharmaceutical business, including Torii, to Shionogi. Shionogi is a global pharmaceutical company that has grown over the past 140 years by primarily providing prescription drugs. And like JT's pharmaceutical business, it has a strength in original drugs based on small molecules. We believe that this aligns well with JT's pharmaceutical business' R&D strategy. In addition, the compound pipeline of both companies have little overlap, creating incremental complementarity across their portfolio. Moreover, Shionogi has a longstanding policy of investing in R&D and in a consistent and significant manner. We believe that Shionogi is the best company to transfer the pharmaceutical business and optimize the drug discovery potential and human resources expertise and capabilities. Regarding the financial impact, the profit attributable to owners of the parent company is expected to decrease by approximately JPY 6 billion as a result of these transactions on the consolidated financial results. For the fiscal year 2025, as stated in the press release, if this transaction progress as planned, the pharmaceutical business, including Torii, is expected to be classified as a discontinued operation from the third quarter of fiscal year 2025. The financial impact of JPY 6 billion will be recorded under discontinued operations. As for the dividend for FY 2025, it is determined based on the payout ratio calculated on a continuing operation basis, meaning there will be no impact on the dividend from these transactions. Lastly, there is no change in the strategic goals of the tobacco and the processed food businesses. JT will continue to position its tobacco business as a core profit growth driver and its processed food business as a complementary driver of the JT Group's profit growth. JT will strive to achieve the JT Group purpose and deliver sustainable profit growth over the mid- to long term. I will start with the three months consolidated financial results. As shown on the slide, revenue and AOP grew strongly, both on a constant FX and on a reported basis, marking a strong start for the year. AOP at constant FX, our primary performance indicator, increased by an impressive 20.8% year-on-year, driven by the solid contribution from our core tobacco business. The growth in the tobacco business was fueled by pricing in combustibles and the inclusion of Vector Group, which outweighed higher investment towards Ploom and inflation-led cost increases, including across our supply chain. The increased profit in the pharmaceutical business also complemented the overall growth. With regard to the foreign exchange impact on AOP, the depreciation of some emerging market currencies and appreciation of cost-related currencies, such as the U.S. dollar, partially offset the positive impact from the yen depreciation against several currencies. Operating profit increased by 15.3% year-on-year, driven by the AOP increase, despite higher cost in adjustment items, including higher amortization cost of intangible assets related to the Vector acquisition. Profit was broadly stable year-on-year as the increase in operating profit was mostly offset by higher financing costs related to Vector acquisition as well as higher corporate tax expenses, mainly due to the absence of one-off factors that occurred in the previous year and had lowered effective tax rate. Moving on to the results of each business segment, starting with the tobacco business. Please see Slide 5 for the volume performance of the tobacco business. Total volume, combining both combustibles and RRP, increased by 1.3% year-on-year. However, when excluding the unfavorable impact of inventory adjustment, mainly in Russia and Western Europe, total volume actually grew by 0.2% year-on-year. In the combustible category, share momentum continued in many markets alongside the strong volume growth in the EMA cluster. Some of the drivers in EMA included the contribution from the Vector Group acquisition, a resilient industry volume in several markets, including in the key markets of Russia and Turkey, as well as continued growth in the global travel retail. Despite these positive items, overall combustibles volume decreased 1.7% year-on-year due to continued decline in combustible industry volume in Japan, the Philippines and the U.K. and unfavorable inventory movement. RRP and HTS volume growth partially offset the combustibles decline through a significant year-on-year increase of 19.0% and 27.7%, respectively. In HTS, which is our investment priority, Ploom's segment share steadily increased across the global footprint. Moving on to the financial performance of the tobacco business on Slide 6. In the first quarter, we delivered another remarkable top line and AOP growth, driven by pricing contributions in multiple markets. Focusing on the AOP growth drivers. Volume contribution was positive, fueled by the inclusion of Vector Group. The volume increase contribution in the high-margin U.S.A. market also led to an improved market mix, offsetting the negative impact of the decrease in total volume. The price/mix contribution was very strong. Pricing contributions in many markets, including the Philippines, Russia and the U.K., outweighed the lower product mix, mainly due to downtrading in Japan and Philippines. These positive factors exceeded the inflation-led cost increases within the supply chain, including tobacco leaf and labor and incremental investment towards Ploom, resulting in a year-on-year increase of 20.9% in AOP at constant FX. As of today, we have already secured over 80% of the planned pricing in combustibles for FY 2025 through the implemented price increases. FX impact on AOP was unfavorable, mainly due to depreciation of cost-related currencies, such as the U.S. dollar and the depreciation of certain emerging market currencies despite a weaker yen. AOP in the first quarter for both reported and at constant FX basis came in stronger than expected, fueled by the solid organic performance driven by volume and pricing. In addition, the FX impact on our business was less negative due to the favorable movement of certain currencies, including the depreciation of the dollar on our U.S. dollar cost base compared to our full year forecast. Slide 7 reviews the performance of the 3 clusters in the tobacco business. The graph on this slide show year-on-year variances in total volume, core revenue and AOP at constant FX for each cluster. Let me start with Asia. This cluster includes the key markets of Japan, the Philippines and Taiwan. Total volume in this cluster decreased by 2.4% year-on-year, mainly due to lower combustibles industry volume in Japan, the Philippines and Taiwan, even though partially offset by market share gains in Bangladesh and Taiwan and higher Ploom volumes in Japan. Regarding financial results, a strong pricing contribution in the Philippines outweighed the negative volume impact and the lower product mix, mainly due to downtrading in Japan and also the Philippines, resulting in higher revenue and AOP. Turning to Western Europe, which includes the key markets of Italy, Spain and the U.K. Total volume decreased by 9.3% year-on-year due to lower combustibles industry volume in several markets, including France and the U.K., as well as unfavorable inventory movements, which exceeded the positive share momentum in several markets. Ploom continued to gain share in the HTS segment, although RRP volume decreased year-on-year. This decrease was due to an unfavorable comparison from the temporary buildup of inventory that occurred during the Ploom promotion activities carried out in various countries in the same period of the previous year. Core revenue and AOP grew as the pricing contributions, mainly in Italy and the U.K., offset the negative volume variance, mainly in the U.K., incremental investments toward Ploom and inflation-led cost increases, including in the supply chain. Moving on to EMA. This cluster includes the key markets of Romania, Russia, Turkey and, from this year, the U.S.A. Total volume increased by 1.7% year-on-year, driven by the inclusion of the Vector Group as well as market share gains in several markets, better-than-expected industry volume in Russia and Turkey and continued growth of global travel retail. The cluster reported an increase in both revenue and AOP at constant FX, driven by the increase of total volume and an improved market mix from the inclusion of Vector Group. In addition, pricing contributions, mainly in Russia and Iran, more than offset the incremental investment towards Ploom and inflation-led cost increases, including in the supply chain. Moving on to Slide 8. As shown in the slide, we will be introducing the new Ploom ecosystem this year, starting with Japan. The new ecosystem is composed of a new and improved Ploom device as well as premium blend heated tobacco sticks. Both were designed and developed based on consumer feedback related to Ploom X and the Ploom X Advanced as well as market research. We will be providing more details at the launch event, which is scheduled on May 27. Since 2023, Ploom has accelerated its geo expansion, and I am pleased to report that at the end of February, Ploom grew its share of the HTS segment by 3.6 percentage points since the end of 2022, reaching 8.2%. This achievement keeps us on track to deliver our -- deliver on our ambition to reach mid-teen HTS share by the end of 2028. We are confident that the introduction of the new and improved Ploom ecosystem will further expand our market share, not only in Japan, but also in overseas markets. Slide 9 provides an update on the HTS share trends of Ploom in selected markets. As shown on the graphs, Ploom share within the HTS segment is continuing to grow, both in and outside Japan. In Japan, HTS share of segment reached 12.7% on the quarterly average in the first quarter fueled by solid share gains in March, during which Ploom grew to 13.1%. Our share gains are solid and will continue despite continued product launches and intense promotional activities by competitors. Outside of Japan, even though competition is heating up, our HTS share of segment continued to grow steadily. This is driven by the expansion of our distribution networks, leveraging opportunities through partnerships with local events and seasonal campaigns and our strengthened marketing efforts using digital media and online platforms. Going forward, we will continue to optimize insights gained from each market as well as feedback from consumers and strive to enhance the awareness of Ploom to increase its market share through a tailored approach. Next, I will explain the results of the pharmaceutical and processed food businesses, starting with the pharmaceutical business. Revenue increased by JPY 2.0 billion year-on-year due to the sales increase in the area of skin disease and allergen at our subsidiary Torii Pharmaceutical and increased overseas royalty income from the depreciation of the yen. AOP increased year-on-year due to higher revenue offsetting SG&A expenses. Moving to the processed food business. Revenue increased by JPY 0.8 billion year-on-year, driven by the positive impacts from price revisions and the sales growth of packaged cooked rice due to supply shortages of rice in the frozen and ambient food business. AOP decreased mainly due to the higher raw material costs, such as rice, which could not be offset by the higher revenue. In closing, please see Slide 12. To summarize the first quarter results, I am pleased to report a great start for '25. We have achieved strong top line growth, driven by the solid pricing contribution in the tobacco business, leading to AOP at constant on a consolidated basis growing by a remarkable 20.8%. In the tobacco business, the business fundamentals came in very strong with solid market share momentum combined with a more resilient industry volume and robust pricing. FX also trended positively compared to the initial assumptions, putting us well on track to achieve our full year forecast. On the other hand, since April, we have seen increased instability. For instance, the dollar-yen exchange rate has been very volatile, hovering between JPY 139 and JPY 151. In addition, global economic dynamics have evolved in part due to changing tariffs, while geopolitical risks in our EMA cluster continued. We will continue to closely monitor the situation and will update our earnings forecast, if and when necessary. Lastly, as a reminder, we will be hosting a launch event for the new and improved Ploom ecosystem on May 27. Until then, we ask for your patience regarding additional details on the device and heated tobacco sticks. This concludes my presentation. Thank you very much for your attention.
A - Dinesh Babu Thotakura: Thank you very much. Now we'd like to move to Q&A session. Let me introduce you the speakers who will answer your question today: Hiromasa Furukawa, CFO of the JT Group; and Nobuya Kato, JTI Deputy CEO. Next, I'll show you how to ask questions. We are afraid we do not accept questions in this English line. If you have any questions, please send an e-mail to jt.ir@jt.com. We will introduce your question accordingly. Thank you for your understanding. Thank you for waiting. The first question comes from Mr. Saji from Mizuho Securities.
Hiroshi Saji: Now I'd like to ask about the transfer and the pharmaceutical business. And at this time, timing are, what is the rationale to make this decision? It might be the competitive environment or the R&D negative impact due to the tobacco business. But why did you make decision at this timing? And if possible, I'd like to know about the cash-in, including the American company. That will be about JPY 80 billion or so. So I'd like to know the use of this cash-in. There is an announcement today, and so background of the transfer of the pharmaceutical business and the use of that cash-in.
Dinesh Babu Thotakura: Mr. Furukawa will take that question.
Hiromasa Furukawa: Thank you very much for that question. What is the reason for this timing and also the use of the cash was your question, and this transaction with Shionogi. As for the timing, as was mentioned in the official document, the Shionogi, they have the -- they are going to make the new health care future with the platform. And from the 2010, they have been considering the possibility of joining hands with us. And based on that, starting from 2024 August, there is the move of the proposal of the transfer of the -- of our pharmaceutical business and of the Torii shares. And we have been constantly considering that opportunity. And currently, we have received the proposal from Shionogi. And in order to have the further expansion of the pharma business, we thought this will be the best option to achieve that target. And second, the use of cash, we're going to have the cash-in with this transaction. And with regard to the use, the final amount is not yet finalized, so I cannot give you the detail at this point of time. And also about JPY 70 billion of cash-in was already announced and with the transfer of the share, Torii's cash and the deposit will be about JPY 30 billion or so, and that needs to be deducted. So our JPY 70 billion will not be the total cash-in. And for this one-off cash-in will going to be based on the cash allocation. And based on that policy, we'd like to make a decision. And currently, we are not thinking about the -- our share repurchase using these proceeds. Thank you.
Dinesh Babu Thotakura: Thank you very much, Mr. Saji. Next question comes from JPMorgan, Fujiwara-san.
Satoshi Fujiwara: This is Fujiwara of JPMorgan. So I have one question about tobacco business. In the second quarter and beyond, we'd like to know what is going to be the forecast. On the constant FX space, you're talking about the increase of the profit by about JPY 50 billion. And the full year forecast is about the increase by JPY 64 billion to JPY 65 billion. So I think about the 80% has already been achieved. So in the second quarter and beyond, because the industry volume seems to be solid and the pricing was very steady in the first quarter, which is likely to continue for the second quarter and beyond, so can we expect that the stronger performance is expected for the second quarter and beyond? Or are there any risks that we need to consider and bake in?
Dinesh Babu Thotakura: So the question is about the tobacco business, the forecast for the year to go. Mr. Kato of JTI Deputy CEO is going to answer.
Nobuya Kato: Mr. Fujiwara, thank you for your question. This is Kato speaking. The outlook for the Q2 and beyond is your question. So the achievement of the Q1 was very strong. That was partly coming from the acquisition of Vector, but the organic base business performance was very strong as well. Well, in a nutshell, and the full year basis, on a 12-month basis, this steady performance in Q1 is highly able to continue for the rest of the year. That's what we are feeling. So as a result, as we showed in the beginning of the year -- the target growth that we have shown at the beginning of the year, we are confident to say that, that is achievable. So that's the general observation. But now talking about the Q2 and year to go, well, as I said, Q1 was very steady in the growth itself, especially AOP growth rate was over 20%. But on a 12-month basis, in Q2 and beyond, especially in Q4, at the end of last year, the Vector acquisition contribution was already factored in, so that relatively, the positive impact in Q4 is going to be down over the last year. And also, the Ploom new device and the launch of those new products and sets is going to make the progress. So that launch and the transition to that new device and the new product, we'll need a sizable amount of investment. And also talking about the cost, for the leaf tobacco, well, because of the bad weather of last year, the sourcing cost has increased last year. The use of those expensive leaf is going to be happening since the second half of this year. So in the throughout -- the 12-month basis, we are confident to achieve the target on the full year basis, and we think we can show the steady growth. However, the growth rate that we saw in Q1 and compared to that stronger growth rate, the magnitude of the growth momentum itself is probably going to be smaller for the second quarter and beyond compared to Q1. And talking about the potential risks, well, in Q1, the business was very strong. But in U.K. or the Philippines, there were some repeated taxation and the pricing, so that the total volume has slowed down. So that it is a bit weaker compared to what we had assumed. So it could be a risk going forward, which we need to monitor closely. But in the volume throughout the year, what the guidance was shown at the beginning of the year, and we just have it as unchanged.
Satoshi Fujiwara: Okay. So one supplement question. The first quarter Vector contribution onto revenue and AOP base, what kind of a contribution were there? Can you give me some quantification?
Nobuya Kato: Okay. The Vector's contribution, of course, the effect of the acquisition, we do not disclose in the particular market or so. But in the qualitative contribution, if I may, well, in the beginning of the year, we were talking about the AOP growth over the last year. The contribution of Vector is about 4% to 5%. That was what we had assumed. Well, in Q1, or throughout the year for 12-month basis, the guidance that we showed is basically being kept. So we think we are in line with that expectation, although we can't give you the pinpoint figure quantitatively. That's what we are assuming to land.
Satoshi Fujiwara: So roughly on quarter, it's probably around JPY 10 billion or so, I guess. That's not very far off from the mark, I guess.
Nobuya Kato: Well, I can't give you the figure with a quantitative pinpoint figure.
Dinesh Babu Thotakura: Mr. Fujiwara, thank you very much. Now we'd like to invite our next question. Mr. Morita from Nomura Securities.
Makoto Morita: I'm Morita from Nomura Securities. Again, I'd like to ask about the return to shareholders. You said 75%, and when it was introduced, it was a very competitive level. However, in the last 1 or 2 years and looking at the global situations and also Japanese FMCG market or the food companies, they have been enhancing the return to shareholders. And besides dividend, they are looking at the total return, including the return. And then 75% doesn't sound so competitive at this point of time. So again, you said that in your message, you're going to show the competitive return to shareholders. So how do you see this payout ratio of 75%? Do you have any plan to enhance that further?
Dinesh Babu Thotakura: So this question is about the return to shareholders. Furukawa will take that question.
Hiromasa Furukawa: I'm Furukawa. Thank you very much for that question. Payout ratio and also our view for the return to shareholders, constantly, we are trying to be competitive in the capital market. And as you have exactly commented at this point of time, payout ratio is shown as 75% as of guideline, and also including the -- our shares buyback. We are looking at the financial situation of the particular year, and also midterm capital demand is also monitored. And actually, as I said at the beginning that what is a competitive level in the capital market because environment is changing, and also our financial conditions and our business are changing. And we need to take all of them into consideration. But at this point of time, as we have been saying, there is no change at the policy of the return to shareholders. And as we have mentioned in our allocation of the management resources, we are going to be conducive to the mid- to long-term business goals. And then we are going to have the balance between the business growth and also the investment and the return to shareholders. And also we will continue to enhance the business foundation and by increasing -- the improving of our business in the midterm, I would like to enhance the returns to shareholders. Thank you for your question.
Makoto Morita: A follow-up question. For confirmation, in the 2 to 3 years -- or excuse me, in the last 1 or 2 years, global FMCG companies have been enhancing the return to shareholders. Do you agree?
Hiromasa Furukawa: As I said, the competitive level in the capital market, and we cannot give you the detail. But in order to have the right understanding, we have been seeing our competitors in the adjacent industry and also return to shareholders in the various industry and the levels have been monitored. And we have been taking that into our consideration.
Dinesh Babu Thotakura: Mr. Morita, thank you for your question. The next question comes from Morgan Stanley MUFG Securities, Ms. Miyake.
Haruka Miyake: This is Miyake of Morgan Stanley. I also have a question about the organic performance -- the business performance. Well, you have a plan, and you have actually outweighed that performance. And also you had the comment about the second quarter and beyond. I'd like to have a further deep dive. In Q1, you have landed better than the original plan. I think the good contribution was the pricing. The pricing was actually stronger as an impact more than you had thought. Is that right to say or because of the taxation, there was some cost to merit on to you? Or can you have a little bit of the color on that, please? And also for the second quarter and beyond, the growth rate is probably not going to be as high as the first quarter, you said. Now the Q4 probably seems to go down. Well, because of the launch of the Ploom new device, which is going to incur some costs and investment, and also the leaf tobacco cost increase and so on. When you made the original plan, those factors have probably been already baked in, weren't they? So can you also clarify which has been already included in the original plan and which were not? I would appreciate that classification.
Dinesh Babu Thotakura: So thank you very much for the questions. That's about the Q1 result, which have been better than the original assumption and also the question for the short-term outlook. Mr. Kato is going to take those questions.
Nobuya Kato: Ms. Miyake, thank you for your question. Well, regarding the organic business performance, including the pricing impact, I'd like to give you more specifics about the drivers. Well, as you said, the biggest contribution was the pricing. The pricing was very strong, to be more specific, by region, the Philippines, Russia, U.K., Poland and Italy, many -- in many markets like that. Since last year, the pricing momentum was very strong. So there was some carryover since last fiscal year, in addition to which the pricing was down more than we had anticipated. So that delivered a great positive impact. So the cost for the Q2 and beyond, for the previous questions, I talked about the cost, there is going to be some increase compared to the last year. Well, on plan, we had already included those impacts. So I was talking about the comparison of the growth rate of this year over that last fiscal year. So as we have baked in for the current year, the cost and the investment are going to happen for this year. So the growth rate of this year over the last year would be slower as a possibility. That's what I mentioned. Now talking about the pricing, as Furukawa mentioned in the presentation, pricing has been done very strongly. So I may be repeating myself. But as of even today, the combustible pricing impact that we had assumed to happen for the current fiscal year, we have already have secured and locked in about 80% against the total plan that we have had for the year. And also this strong pricing has been driving us to achieve the original target for the current year. So throughout the plan, the steady growth momentum is going to be kept is what we are thinking as we stand.
Haruka Miyake: So in original plan, you were talking about Russia and Turkey. Probably, those markets might have some potential risks of the slowdown of the business. Well, in the second quarter, can we understand that it's not really happening for the second quarter and beyond as long as we see the achievement of the Q1? Just like last year, well, in a market like Russia and Turkey, the total industry -- the total volume has been quite steady and holding on. For Russia, just like last fiscal year, the illicit is not increasing. It's actually coming down. And Turkey -- in Turkey, affordability -- from the perspective of affordability, tobacco products is -- among all the consumables, it's quite affordable. That environment has been continuing on. So as we speak, the sign of slowing down has not been seen. So the steady total demand is still continuing since last fiscal year. After Q2, whether that is going to be happening on a steady basis?
Nobuya Kato: Well, right now, we do not see any negative sign over slowing down is the best I can say.
Dinesh Babu Thotakura: Thank you, Ms. Miyake. Now we'd like to take the next question. Mr. Miyazaki from Goldman Sachs.
Takashi Miyazaki: I'm Miyazaki of Goldman Sachs. The Q2 and beyond, I'd like to know those situation after Q1. The cost and also volume, you have explained already. And talking about the pricing in the Q1, there was the increase of JPY 82 billion year-on-year. And Q2 onwards, can we expect to see the similar level of the profit growth? And also in April and onwards, there is some system issue that has delayed the supply of the product. And is it a one-off factor in Japan, and we don't have to be so concerned for that or these IT system troubles might be happening globally? And can we expect such a negative impact globally? So I'd like to have a confirmation on this point. And also currency, there is some part which we cannot see clearly. At least in April and May, were there any adverse impact or the negative risk is happening in these 2 months? And what is the trend for the Q2 and onward?
Dinesh Babu Thotakura: The question, Q2 and onward pricing and also the delivery delay will be covered by Kato.
Nobuya Kato: For pricing, especially in Q2 onwards, in Q1, we had a very strong impact of the pricing, and that would be mostly sustained for the full year. And also Q2 onwards, there are some technical matters. Hyperinflation adjustment is happening in Q2 and onwards, and that will be duly reflected. And especially in Iran, Ethiopia and Turkey, in those hyperinflation market, when we look at the current competitive environment and FX, we took that pricing, and we continue to do so, monitoring all of them. And the impact is going to be more visible going forward. And in Japan, there was the IT system, which caused the delay of the delivery and the size of the impact out of that issue. First of all, the delay of the delivery, we are sorry for that. I'd like to apologize for that incident. And the financial impact out of that is now scrutinized, and we're going to disclose that in due course. And as the incident, whether that is Japan only or is this going to be global matter, well, this is a Japan unique issue. Therefore, we don't expect to see the system error or the IT system trouble globally, or the delay of the delivery will not be happening on a global basis.
Dinesh Babu Thotakura: And about FX, Furukawa will comment on that.
Hiromasa Furukawa: Thank you for that question. For the currency impact, the various currencies are changing. Especially, the appreciation of the yen is more prominent recently. For example, based on the dollar as the key currency, yen and dollar, the yen is being appreciated now. Then on the contrary, the currency -- local currency and the dollar, if they are stable, then since we do have the high exposure overseas business, and then we're going to have the negative impact of the dollar-yen. And then, besides Japan, we have the operation in the other countries. So by country, the currency exposure is varied. Therefore, we need to be mindful of which -- to which currency the yen is appreciated. And also the currency sensitivity, as we have been saying before, when the ruble changed by 1%, the dollar then toward yen, then there will be the JPY 2 billion, JPY 3 billion change. So that is because -- that is the reason why we are very watchful for the ruble development. However, of course, the currency volatility has been more prominent recently. So our assumed rate and also are the impact for the full year, we need to make the update, if that is necessary. Thank you.
Dinesh Babu Thotakura: Mr. Miyazaki, thank you for your question. The next question comes from SMBC Nikko, Mr. Furuta.
Tsukasa Furuta: Well, this is Furuta of SMBC Nikko. So my question is about your policy about the dividend hike. Well, against the original plan, you have a positive impact coming from the FX. The performance is also good. And when the original plan was made, you had the Canadian litigation, but -- which is not going to hit the result for the FY '25, meaning that you probably have a sufficient level of cash. Now although the size is not that big, you have the disposal gain coming from the Torii Pharmaceutical. Of course, you have to work through the policy you have for the dividend. However, any cushion or any potential for hiking the dividend itself? That's my question.
Dinesh Babu Thotakura: So the question is about whether there is a leeway for the company to think about the possibility of the dividend hike. That will be taken by Furukawa.
Hiromasa Furukawa: Okay. This is Furukawa speaking. Thank you for your question. Well, this time, when we look at the achievement of Q1 results, which was just announced, well, the source of the dividend, the payout ratio of 75%, that is coming from the outlook of the guidance, and that's coming from the FX and, of course, the macro, and they are highly volatile, as you see. In the macros, some factors and also the total demand in each market and also some impact that hit our business itself, they are all uncertain. So based upon those uncertainties, of course, the impact on our business had to be considered and what the impact on our financial status has also been scrutinized from time to time. And then as necessary, we need to update the performance. And that's going to be done after the second quarter or in the second quarter and beyond. Well, as Furuta-san just mentioned, when it comes to making the decision of the dividend, we are just looking at the 75% as the level to look at. So that will be just looking at the net profit that we generate. Of course, on a single year, profit level is covering only for a 12-month basis, but that is going to probably harvesting the result coming from the past investment and also the investment contribution. So from the mid- to long-term basis perspective, we think we'll be able to incorporate the business situation that is going to be reflecting to how much we'll be able to return. So assuming that the net profit is going to be moving, which is going to be the basis for our payout -- or the return to the shareholders, if that is going to be changing our business performance or the business trend, that is going to be leading the changes in the trend, so for our performance, and that could be changing our business profit or the trend and the trajectory going forward after second quarter and so on, then we think we'll be able to look at what we will be able to do to change the dividend level itself. Well, but as was mentioned, I think, but looking at the performance, I just understood that you do not have any potential risks that are emerging in reality after the second quarter and beyond, right? Well, the FX and the macro trend, we think we need to monitor very closely. So as time goes on, we want to just update our performance. And then based upon that, we need to work upon the guidance of the current fiscal year. And that is going to be probably explained after the second fiscal -- the second quarter.
Dinesh Babu Thotakura: Thank you, Mr. Furuta. We are running out of time, so we'd like to take the last question. Mr. Hashiguchi from Daiwa Securities.
Kazuaki Hashiguchi: I'm Hashiguchi of Daiwa Securities. I'd like to ask about the Ploom share and also your expectation for share. And you have shown the Slide 9, and the share gain has been very solid. And my question is you have announced the transfer of the pharmaceutical business and the Torii Pharmaceutical, and also business portfolio remains unchanged is your announcement. But you are going to have the big decision and also you're going to put more effort for the remaining businesses. And also you're going to have the announcement of the new product as well. So in the mid-10% line by 2028, and will you be able to upload that timing? And also what is the potential expectation?
Dinesh Babu Thotakura: For tobacco business, the view for the Ploom share and also expectation. First, Kato will take that question.
Nobuya Kato: Thank you, Mr. Hashiguchi. For Ploom, yes, as you have observed in each market, especially in Japan, our share gain has been very solid. And as you're already aware of, and '28 is a targeted year. And for that midterm, we are making the steady progress towards that target here in terms of the share gain. And as you have mentioned also, we're going to have the new device as a new product launch. So we have been progressing on track. And going forward, in the next few years, I would like to proceed smoothly. And currently, our -- for the expectation for the midterm, we are going to fulfill the plan as we have planned. And what is more important for us is this year and going forward, we're going to have the new device launch. And also there is a transition happening from the current products, and we're going to implement that shift as we have planned. And when we ensure that shift next year and onwards rather than this year, we're going to have the additional boost and we'd like to consider the measures to achieve that. And if we can find any areas that we need to have the additional focus, we'd like to add focus for those areas as well. And currently, let me reiterate the midterm plan. We are going to achieve that target as scheduled. And also in order to achieve that, of course, we need to have the confidence, and we do have the confidence with the new product, new device. And at the end of May, we are going to make announcement for detail. And our confidence level can be checked at that opportunity. And also we are going to have the further feedback -- the positive feedback from the consumers. Thank you.
Dinesh Babu Thotakura: Thank you, Mr. Hashiguchi. With this, we'd like to close the Q&A session. And with this, I'd like to close the web meeting of the earnings briefing of the first quarter 2025. Thank you very much for joining us today.